Operator: Good day, ladies and gentlemen, and welcome to the Martin Midstream Partners' Second Quarter 2015 Earnings Conference Call. At this time all participant lines are in a listen-only mode to reduce background noise but later we will be conducting a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the call over to your first speaker for today, Bob Bondurant, Chief Financial Officer. You have the floor sir.
Robert D. Bondurant: Okay, thank you, Andrew and to let know everyone, those on the call today we have Joe McCreery, our VP of Finance and Head of Investor Relations; and Wes Martin, VP of Corporate Development. And before we get started with the financial and operational results for the second quarter, I need to make this disclaimer that certain statements made during this conference call may be forward-looking statements relating to financial forecasts, future performance, and our ability to make distributions to unit holders. We report our financial results in accordance with Generally Accepted Accounting Principles, and use certain non-GAAP financial measures within the meanings of the SEC Reg G, such as distributed cash flow, or DCF; and earnings before interest, taxes, depreciation, and amortization, or EBITDA; and we also use adjusted EBITDA. We use these measures because we believe it provides users of our financial information with meaningful comparisons between current results and prior reported results, and it can be a meaningful measure of the Partnership's cash available to pay distributions. We also included in our press release issued yesterday a reconciliation of EBITDA, adjusted EBITDA and distributable cash flow to the most comparable GAAP financial measure. Our earnings press release is available at our website, martinmidstream.com. Now I'd like to discuss our second quarter 2015 performance compared to the first quarter of 2015. And for the second quarter we had adjusted EBITDA of 45 million compared to $50.4 million in the first quarter, an 11% decrease totaling $5.4 million. As will be discuss in more detail later this decline was primarily driven by seasonality in some of our businesses and secondly by maintenance cost in some of our businesses. Our distributed cash flow for the second quarter was $31.9 million, a distribution coverage of 0.96 times based on our distribution of $33.4 million paid out in the second quarter. The second quarter distribution paid in May of ‘15 also included IDR distributions of $3.9 million. Our six months DCF has been $69 million, a distribution coverage of 1.04 times based on total distributions of $66.6 million paid this year. Now I'd like to discuss our second quarter performance compared to the first quarter by segment. In our Terminalling segment our second quarter EBITDA was $15.9 million compared to $17.7 million in the first quarter, a decrease of $1.8 million. This decrease was entirely associated with the fee based portion of our Terminalling segment, which includes our specially and shore based terminals and the cross refinery. These fee-based Terminals had a cash flow of $13.7 million compared to $15.5 million in the first quarter. The decline in cash flow from the fee-based portion of our Terminalling segment was due entirely to an increase in operating expenses, primarily maintenance related. Now looking towards the third quarter the increased in operating expenses should reverse and trend back to normal expense levels, resulting in improved overall fee based Terminalling cash flow. Our margin based packaged lubricants business provided cash flow of $2.2 million for both the first and second quarters. Although margins have generally been good we have been below our planned volume forecast in this business, due to generally reduced demand for our packaged lubricants. Looking toward the back half of the year we see an improvement in cash flow beginning in the fourth quarter. We are in the process of continuing to rationalize cost in our plastics and blending plants which will help lower our fixed cost structure. Also our new rail rack at the lubricant plant will be finished in Q4. This will give us access to Paraffinic lubricants by rail which will help lower our overall delivered lubricant feedstock cost. In our natural gas services segment, our second quarter EBITDA was $17.2 million compared to $16.8 million in the first quarter of '15. The increase in cash flow was from our NGL margin business. Although the propane side of our NGL business experienced its normal seasonal cash flow decline our butane business more than offset that decline. Our NGL railcar unloading facility in North Louisiana became operational at June 1. This new asset helped our butane business performance in the second quarter and should be very strategic in allowing continued growth in our NGL margin business. Also in our natural gas services business Cardinal Gas Storage had EBITDA of $11.1 million in both first and second quarters, demonstrated the consistency of its cash flow from its firm contracting business model. In addition to cash flow generated in our natural gas services segment we received a $2.3 million distribution from our West Texas LPG pipeline joint venture in the second quarter of ’15, bringing our six months distribution total from WT LPG to $4.4 million. Additionally WT LPG raised its tariff rates effective July 1, 2015. Now depending on actual throughput volume we believe these higher tariff rates will provide an increase in annual distributions we will receive from WT LPG of $4 million to $6 million on an annual basis. As a result our current estimate for distributions from WT LPG should be $13 million to $15 million for ’16 with our investment being the $133.9 million made in May of ’14. Overall Cardinal and WT LPG continue to provide us a consistent stable fee based cash flow each quarter, lessening the impact of seasonal cash flow variability in some of our other businesses. The strongest cash flow quarters for our company will continue to be the first and fourth quarters but the seasonal reductions of cash flow we historically experience in the second and third quarters should be less extreme in the future. Again our primary reason for the dampening of the seasonal variability going forward is the large stable cash flow provided by our Cardinal Gas Storage assets and our investment in WT LPG. Now moving to our Sulfur Services segment, our EBITDA was $9.9 million in the second quarter compared to $11.7 million in the first quarter of '15. Our fertilizer EBITDA was $6 million in the second quarter compared to a $7.6 million in the first quarter. This decrease between periods was primarily a result of a 16% decline in our fertilizer volume sold. This decline was characteristic in the fertilizer seasonal cycle. Looking forward, as most of you know, the third quarter is always the weakest in our fertilizer business as it is harvesting season for the U.S. farmer, so we expect our fertilizer cash from the third quarter to experience its normal seasonal decline due to low volume sales. However we continue to anticipate a rebound in our fourth quarter for a larger EBITDA as farmers should begin their fertilizer winter field programs. And on the pure sulfur side of the business second quarter EBITDA was $3.9 million compared to $4.1 million in the first quarter of ’15. This slight decrease in cash flow was primarily driven by reduced prilled volume sales at our West Coast terminal. In our Marine transportation segment, we had EBITDA of $4 million in the second quarter, compared to $6.1 million in the first quarter of '15. We experienced a decline in cash flow of $1 million in the inland side of the business as our line haul revenue was down $0.5 million and our repair and maintenance costs were up a $0.5 million. We had four inland barges and six inland tugs in the shipped yard in the second quarter impacting both our revenue and maintenance. We also experienced a decline in cash flow of $1.1 million in the offshore side of the business as our offshore NGL barge came off long term charter in the second quarter. We are currently in the market looking to place this vessel under contract. Our Partnerships’ unallocated SG&A cost, excluding non-cash unit compensation expense was $4.1 million in the second quarter compared to $4.4 million in the first quarter of ’15. This cost decrease was a result of decreased professional fees and diligence cost. We continue to hold a $15 million note receivable due from Martin Energy Trading, an affiliate of our general partner. This investment generated $600,000 of interest income in each of the first and second quarters of ’15 and should continue at that rate throughout 2015. We have amended our bank definition of EBITDA to include this interest income as EBITDA. Our maintenance capital expenditures and turnaround cost for the second quarter were $3.7 million and have been $6.9 million for the first six months. For the year we continue to forecast a total of $14 million to $15 million of capitalized maintenance and turnaround cost. Now I'd like to turn the call over to Joe McCreery, who will speak on our balance sheet, our liquidity, and provide a mid-year comparison to guided forecast.
Joe McCreery: Thanks Bob. I'll start with our normal walk through of the debt components of the balance sheet and our bank ratios. Then I’ll provide some mid-year benchmarks against the cash flow guidance we gave in early 2015 and then discuss the Partnership's growth outlook. On June 30, 2015, the Partnerships’ balance sheet reflected total long-term funded debt of approximately $840.2 million. This balance sheet debt level is now net of unamortized debt issuance and unamortized issuance premiums as actual funded debt was $850 million. At quarter end our revolving credit facility balance was $450 million and the notional amount of our senior unsecured notes was $400 million. Thus the partnership’s total available liquidity under the revolving credit facility at June 30, 2015 was $450 million. For the second quarter of 2015 our bank compliant leverage ratios, defined as senior secured indebtedness-to-adjusted EBITDA and total indebtedness-to-adjusted EBITDA were 2.46 times and 4.64 times respectively. Coincidentally our bank compliant interest coverage ratio, as defined by adjusted EBITDA-to-consolidated interest expense was also 4.64 times. Looking at the balance sheet, total debt-to-total capitalization at June 30, 2015 was 65.2%. Our funded debt fell during the quarter in part due to reduced working capital associated with our natural gas liquid and lubricant businesses. I note the partnerships coverage profile has improved in consecutive quarters as we made progress in achieving our stated goal of 4.5 times total debt-to-EBITDA. In all on June 30, 2015 the partnership was in full compliance with all banking covenants financial or otherwise. As the Partnership had no capital raises during the second quarter we elected not to issue equity under our ATM program in this environment, nor access the debt capital markets. We did however execute a small amendment to our revolving credit facility with our banking syndicate which was previously disclosed in an 8-K filing back in June. This amendment allows for a small adjustment in the way we calculate EBITDA and grants us the ability to purchase our debt and equity securities in the public market, provided the partnership meets certain leverage parameters. Now let me discuss our current performance. As Bob mentioned the Partnership’s adjusted EBITDA after unallocated SG&A was $45 million for the second quarter 2015, representing a 37% increase over the second quarter last year. Through six months in 2015 EBITDA after unallocated SG&A was $95.4 million, an increase of 33% over last year’s first six months. That being said however recall that in March we provided full year 2015 guidance before unallocated SG&A. So now that we have reached the mid-year I’d like to review our performance through six months compared to the guidance we provided in early 2015. For comparative purposes I'm going to assume 50% of our EBITDA is generated in each half of the calendar year. On a Partnership wide basis our EBITDA before unallocated SG&A was $103.6 million on June 30. This compares favorably to the $101.4 million level guided to at mid-year. Looking at our four segments, Terminalling and Storage earned $33.5 million compared to guidance of $36 million for the first six months. Virtually all of our business on the traditional Tanking and Storage side and the Smackover refinery met or exceeded our planned cash flow. One exception however was our Martin Lubricants platform, down approximately 40% through six months having encountered similar issues to last year’s fourth quarter, weaker demand for our products and lower than anticipated margins arising from base oils abundantly over supply. The natural gas service segment earned $38.4 million before SG&A during the first half compared to a target level of $40.6 million. Although optically it would appear we’re slightly lagging here combined cash flow from last year’s acquisitions, West Texas LPG and Cardinal Gas Storage has exceeded expectations. Further our NGL business is well positioned to capture incremental levels of EBITDA in the second half of 2015 based on our new rail terminal operations. Additionally we should benefit from the revised tier [ph] structure on the West Texas LPG pipeline system during the second half of 2015. Moving to Sulfur Services, this segment significantly outperformed year-to-date earning $21.6 million of EBITDA before SG&A compared to guidance of $13.7 million. This is primarily attributable to a strong fertilizer market and extended application period this year that went well into the second quarter. Our pure sulfur business also performed well, benefiting from increased inventory values and better than forecasted margin on our molten sulfur handling business. And finally our Marine transportation segment, remember for this segment we gave guidance of $22.2 million of EBITDA after deducting the Marine only SG&A at $7.1 million. So comparatively speaking for the first six months of 2015 after subtracting the Marine-only SG&A we earned $10.1 million of EBITDA compared to an estimate of $11.1 million. This $1 million shortfall is primarily attributed to the higher than anticipated repair and maintenance expenses we incurred during the first half of the year. For your convenience a slide with all the numbers I have just provided highlighting our year-to-date performance versus full year guidance has been posted to our website. Now let’s talk about the Partnership’s growth. Firstly our Arcadia Rail Terminal. As Bob mentioned we successfully completed construction and commenced commercial operations at our Arcadia Louisiana Natural gas Liquids Rail Terminal adjacent to the Partnership’s natural gas liquids storage facility. Our new facility is designed to expand the geographical sourcing of NGLs for its storage asset. Since becoming operational the facility has run at near full capacity handling and storing primarily refinery grade butane which is typically in excess supply during the summer months. Cash flow uplift from the facility will be realized during the withdrawal season which typically begins in the fourth quarter and carries through the end of the year in the first quarter next year. We anticipate incremental cash flow between $4 million and $6 million from the Rail Terminal on an annual basis. Now let’s discuss Corpus Christi. We continue to work closely with our potential customers for additional tankages previously discussed, but have yet to finalize a contractual agreement. Upon the executional contract the Partnership will provide market information, highlighting the project and revised cash flow projection for the Corpus Christi terminals. Next I’d like to discuss popular developments pertaining to our West Texas LPG, Natural gas liquids pipeline investment. As we announced yesterday and Bob mentioned the Partnership anticipates meaningfully increased cash flow distribution from our 20% interest in the West Texas LPG system. We expect distributions to increase by $4 million to $6 million per year. This is attributable to cash [ph] revision that became effective on July 1, 2015. The actual distribution increases realized will depend primarily on throughput in the number of incentive rate plans executed by shippers on the system. However the revised cash flow guidance from West Texas LPG does account for a nominal amount of customer attrition based on our new wage structures. Andrew, this concludes our prepared remarks this morning. We’d now like to open the lines for Q&A.
Operator: [Operator Instructions]. Our first question comes from the line of Shneur Gershuni from UBS. Your line is open.
Shneur Gershuni: Hi good morning guys.
Robert D. Bondurant: Good morning.
Shneur Gershuni: I was wondering if we can go through the West Texas LPG asset. So the guidance that you’re giving on the July 1st rate change that’s now incremental of almost $6 million a year. Is that the way to read that?
Robert D. Bondurant: Yeah, the guidance that we gave all along was to expect distributions of $9 million. That was the value when we purchased and incrementally to that will be an incremental increase of $4 million to $6 million. Therefore in total, on an annual basis for 2016 we should receive $13 million to $15 million in distributions.
Shneur Gershuni: Okay, got it. And then I guess my follow-up question with respect to that project, there was an expectation to invest capital with your partner, kind of on a go forward basis to grow it. Is it still on track or are there capital calls that are occurring and so forth. I was wondering if you can give us a little bit more color with respect to that.
Joe McCreery : I’ll attack that first and if Bob wants to add feel free to. Currently there have been no capital calls. I think ONEOK, the operator of the business are primary focused with the tariff increase. So they did a lot of work figuring out what the increases need to be and so now that’s been done, there maybe some capital calls going forward but I know of none at this day. Wes you have any further color.
Wes Martin: Yeah I would just say to add to that I think we had previously discussed nothing in 2015. I think that’s still the case. I think ONEOK accepted [ph] the same thing. I think that any capital would at best, it would be the small amount really into call it early 2016 and then I think additional capital we would have -- we’ll come to the market with additional information but the capital probably, meaningful capital probably won’t be spent until I’d say probably second half of 2016. And I think in terms of, when you look back and you look at what we talked about at our analyst day presentation. We haven’t heard anything different from ONEOK, as terms of sort of total potential capital there but that’s obviously out into the future. Nothing really imminent at this point.
Shneur Gershuni: Is it fair to assume that you guys agreed to retire -- I realize the market has changed in the last six to nine months, but did you agree to some sort of its timeline with respect to growing that asset, is that still the case and they haven’t changed anything and it always was supposed to be incremental capital in second half of 2016?
Robert D. Bondurant: Yeah, I'm really primarily just giving basically the same comments that they have given out publicly. I think internally we continue to work with them in terms of sort of forecasting. But nothing has been approved internally from the Partnership level. So at this point this is just sort of very, I call it 50,000 foot level information.
Shneur Gershuni: Okay, so thank you. Thanks for the clarification guys.
Operator: Thank you. Our next question comes from the line of Charles Marshall from Capital One Securities. Your line is open.
Charles Marshall: Hey, good morning guys.
Robert D. Bondurant: Good morning.
Charles Marshall: Just want to talk about distributions going forward, recognizing your efforts to reproduce leverage and lower your cost of capital, but I'm curious as to what catalysts might prompt you to reinstate distribution growth going forward and generally speaking if there’s any stock guidance in terms of timing when we could expect the strong distribution growth?
Robert D. Bondurant: Joe, go ahead.
Joe McCreery : Yeah, so I think we’re primarily in coverage mode right now to get back and above one-to-one which we’ve now succeeded to do on a TTM [ph[ basis. So that was big for the Board and for management, ahead of our water first. I think now we’ve done that and we’ve got some clarity on what appears to be a good second half of 2015. I think we’ll decide at that point in time but we have been in coverage mode and we finally now have succeeded, as I said on the TTM basis to be over one-to-one again.
Charles Marshall: Okay, appreciate that. And I was looking at Corpus Christi volumes the first half of the year, I guess you’re out looking about right at 175,000 barrels a day, which I guess is your previous guidance for the year. Sort of looking to the back half of this year any implications on where that could trend? Is 175,000 for the average for the year still a good guidance number?
Robert D. Bondurant: This is Bob I’ll take that. We’ve actually internally lowered that to 165,000 however our rate structure is such that those last barrels that go away lose if you will hopefully temporarily is that a rate, that’s very low relative to the whole. It’s much less than the average if you took the volume and took the revenue into that volume, the incremental barrel at the end I can’t disclose the price but it is very low compared to the average.
Charles Marshall: Okay, fair enough and just one last quick one. If you could, the volumes of the West Texas LPG pipeline in 2Q?
Robert D. Bondurant: I believe it was 229,000 barrels a day, Wes does that sound right?
Wes Martin: Yeah, that sounds about right, maybe plus or minus 5,000 barrels, Bob but yeah, it does sounds about right.
Charles Marshall: Okay, that’s it from me guys. Thank you.
Operator: Thank you. Our next question comes from the line of Selman Akyol from Stifel. Your line is open.
Selman Akyol: Thank you good morning. On the terminal side you guys referenced that operating expenses were up and you expect them to come back down in the third quarter. Can you just give a little more color around what actually went on with the operating expenses there?
Robert D. Bondurant: Yeah, there were just repairs to tankage at Corpus and repairs to a pipeline at Cross. So there was kind of one-off one-month deal that were unanticipated when we did original forecast, but sometimes when something breaks you got to fix it and that’s what happened.
Selman Akyol: Understood and then so while those were down or while you doing those repairs were volumes impacted that much and should we see a volume uplift I guess as we go into the third quarter?
Robert D. Bondurant: Well at our pipeline and cost we got volume in from different directions, so not really there. At Cross there was tank out of service so what did happen was inbound volume of the Harvest Pipeline on some days had to be curtailed back because we didn’t have the capacity, because we were weighing on the ships come in. So instead of having a nine tanks [ph] in service you have actually 100,000 barrels out of service and there were a few days where we had -- the inbound volume had to be slowed down, so slightly yes on the Corpus side of equation.
Selman Akyol: All right, appreciate that and then you guys talked about in terms of the West Texas LPG line, you talked about there were some with higher rates that you guys saw some shippers wouldn’t ship. Can you just talk about what your capacity utilization assumptions are for 2016 as you get the additional $4 million to $6 million?
Wes Martin: Yeah, this is Wes. I’ll take that. So just in terms of ’16 we haven’t really looked at -- gone forward in terms of the budgeting process. We’ll be going through that, really over the next call in three, four months. But I would think in terms of initial indications, in terms of where our volumes are right now and then call it 220,000 plus or minus barrels range that’s obviously been going on now really the rate change has taken place. We’ll have to wait a little bit to see how that plays out over the next few months and it still makes you look at -- sees you signs upon incentive rate agreement basis but I think right now where we stand in terms of our volume expectation, I think we’re in that sort of 215,000 to 240,000 range.
Selman Akyol: All right, can you [ph] from any of the capacity of the pipe?
Robert D. Bondurant: It’s about -- it depends on obviously where you slice and dice it but it’s about 230,000 barrel a day.
Selman Akyol: And then last one from me, just in terms of your, I guess your maintenance CapEx number, your full CapEx number for the year on expansion cap?
Robert D. Bondurant: Yeah, for 2015 I think we’ve previously guided to about $65 million and then there was some upside to that guidance based upon timing of projects coming up for Board approval. I think specifically we referenced the Corpus expansion and as well as the Asphalt Terminal down in South Texas. I think where we’re shaking out for ’15 and on a budget basis is going to be closer to, call it $55 million to $60 million versus the $65 million. The timing on the Asphalt project, I think we’re still looking at bringing that to the Board approval probably late third quarter, might put in early fourth quarter but hope we get there by late third quarter. And then with respect to Corpus expansion that’s going to be contingent upon signing up a new deal with our customer or customers and so that’s stalled a little bit in terms of our expectations of timing. So I think we think there’s an opportunity there for sure but I would say that probably any expansion approval would probably come, I would say, closer to the fourth quarter as well as any capital obviously would then slip and push really primarily into 2016. So I think where we are for’15, just quick summary is $55 million to $60 million on the CapEx front with some additional potential capital once we achieve Board approval on the Asphalt Terminal and then as well on the Corpus project.
Selman Akyol: All right, thanks very much.
Operator: Thank you [Operator Instructions]. This now concludes our Q&A session. I’d like to turn the call back over to management for closing remarks.
Robert D. Bondurant: Okay thank you Andrew. And to recap the Partnership did have a solid quarter in Q2 which we’re very pleased. And from my shoes acquisition [ph] our seasonal cash flow appears to have softened. We believe it will be softening going forward and we have hit our performance marks in mid-year and well positioned to exceed our guidance going forward, especially with upside potential in our natural gas services business and our sulfur services business. Thanks everybody for joining today we appreciate your interest in our company and your support. Thank you.
Operator: Ladies and gentlemen, thank you again for your participation in today’s conference. This now concludes the program and you may all disconnect your telephone lines. Everyone have a great day.